Operator: Good day, ladies and gentlemen, and welcome to The Real Brokerage Fourth Quarter Earnings Call. At this time, all participants have been placed on a listen-only mode and the floor will be open for your questions and comments after the presentation.  It is now my pleasure to turn the floor over to your host, James Carbonara. Sir, the floor is yours.
James Carbonara: Thank you. And once again, welcome to Real's fourth quarter 2021 earnings call. With me on the call are Tamir Poleg, Chief Executive Officer; and Michelle Ressler, Chief Financial Officer. This morning, Real filed its financial results and management discussion and analysis for its fourth quarter ended December 31, 2021 on SEDAR. These documents, along with the accompanying news release, can be found on SEDAR. I'd now like to review the company's abbreviated Safe Harbor statement. I'd like to remind you that statements made in this conference call concerning future revenues, results from operations, financial positions, markets, economic conditions, product releases, partnerships and any other statements that may be construed as a prediction of future performance or events are forward-looking statements, which may involve known and unknown risks, uncertainties and other factors, which may cause actual results to differ materially from those expressed or implied by such statements. Non-GAAP and non-IFRS results will also be discussed on the call. The company believes the presentation of non-GAAP and non-IFRS information provides useful supplementary data, concerning the company's ongoing operations and is provided for informational purposes only. Additionally, all references in this call reflect currency in U.S. dollars.  Now, I'd like to turn the call over to Tamir Poleg, Chief Executive Officer of Real. Tamir, please proceed.
Tamir Poleg: Thanks, James. And thanks everyone for joining today. I would like to start by thanking the hundreds of agents and large teams who joined Real in the past few months and to our community of agents, who have contributed to the growth we are experiencing. I will now continue by highlighting some top level financial results. Then, I will provide some operational updates before turning it over to our Chief Financial Officer, Michelle Ressler, to dive deeper into our financials  Let's start with the fourth quarter financial results. Q4 revenue was $50.5 million, an increase of 612% year-over-year. Driving that growth was 161% increase in real estate agents joining Real, as long as 179 -- sorry, 173% increase in the revenue per agent to 13.11 thousand. Now, turning to operating highlights. In terms of geographic expansion, during the fourth quarter, we announced Real’s expansion into Iowa, Michigan, Idaho, Kentucky and Wyoming. And in Canada, we launched in Ontario. After the quarter ended, we announced expansion into New Mexico and Oregon. So bringing our tally of state to 42 states, the District of Columbia and Canada. We look forward to growing our business in Canada and in each of the operating states. Our focus in 2022 will remain on North America and will grow deeper and wider in the states we're currently serving. Moving to agent referrals, this continues to be an important part of our growth. We believe we attract agents by providing the best tools, incentives, culture, and working environment. Just as an example, this is what attracted Red Rock Real Estate Group, and 275 plus agents into Real Broker in October. They saw an opportunity unavailable at any of the brokerages they were, they had searched. Red Rock was attracted to our tech platform and a model that enables agents to earn stock in Real. We are proud to say that Red Rock is now a part of the Real team and look forward to having them play an important role in our operation. Moving to retention, equity incentive not only attract groups like Red Rock, but also helps us retain agents. The majority of agents continue to opt into our equity incentive plan. It has allowed us to attract top tier talent into our management team. As many recall, during the quarter, we announced that Katharine Mobley will be joining our management team as the Chief Marketing Officer. Kat led global marketing at First Advantage. Prior to her role at First Advantage, she served as the Chief Marketing Officer at several technology firms and managed a range of global brands with accounts at several Fortune 500 companies. Also in Q4, we announced Raj Naik joined our management team as Chief Operating Officer. Raj joins Real from Workrise, previously known as RigUp. Raj also held senior leadership position at Uber. He brings an entrepreneurial spirit, having founded his first company with his friends while he was studying at the University of North Carolina at Chapel Hill, later sold to Oracle. Now turning to product focus. I’ll start with Instant Payments, which we launched last October. You may remember our attention with Instant Payments is to change the way agents are paying in the real estate industry. With the first of its kind model, agents will have the option to be paid at the time a transaction is executed rather than its closing. There's no program that’s disrupting the industry by assisting agents new and experienced to build and grow their business by getting paid faster. We are constantly expanding the offering of Instant Payments to more and more agents and more scenarios. We invest an increasing amount of resources in the buildout of our consumer facing experience based on a combination of software solution for providing convenience, transparency, control and speed on one hand, and a human agent who will be able to assist to guide the client and understand their needs and emotional journey.  I want to reinforce our belief that by creating a digital experience that keeps agents in the middle of a transaction, we can considerably enhance the way people buy and sell homes. In this way, we are evolving beyond traditional brokerage, but rather into a large online real estate company that aims to change the way people buy and sell homes and fix the broken combined process. Shifting gears to M&A, after the quarter ended, we announced the acquisition of Expetitle, Inc. The result is creating an enhanced technology driven experience from search to close for realtors, and their customers. Expetitle has developed technology that simplifies the paper intensive and time intensive title and escrow process, reducing errors and saving time. Agents can navigate the entire closing experience in few clicks using Expetitle's mobile app. I'm excited to welcome Sean and the Expetitle team to The Real family. Expetitle is now called The Real Title. And its innovative approach to title and closing is synergetic with Real’s mission to improve both the agent and consumer experience in the real estate industry. Joining forces will allow us to expedite our efforts towards creating a more convenient, transparent and faster home buying experience for our agents' clients. Finally, moving on to the efficiency of our team, we continue to grow headcount and real estate transactions efficiently. In fact, at December 31, 2021, our efficiency ratio, which is full time employees divided by the number of agents that are currently on our team, remains high right around 1:62. We believe that this is a big competitive advantage. To conclude, we are committed to growth through geographical expansion, agent referral, retention, product development, and the efficiency of our team. We're unwavering in our mission of having a positive impact on as many real estate agents and homebuyers as possible. I'd like to reiterate as well that moving ahead we're focused on adding ancillary services and building consumer facing technology that further improves the home buying experience. Doing so will also add additional streams of revenue and grow our total available addressable market as we expand into the online real estate industry. We also intend to grow sustainably, boasting the solid balance sheet and we are operating as cash flow positive. At this point, I will now turn it to Michelle for a more in depth view of our financials. Michelle?
Michelle Ressler: Thank you, Tamir. And thank you everyone for joining us. I'll start by assessing some of our key financial results for the fourth quarter and full year 2021. We experienced another quarter and full year of phenomenal growth. Our Q4 revenues grew 612% year-over-year to $50.5 million and 635% for the full year 2021 to $122 million compared to the same period last year. This increase was mostly driven by agent growth which was up 161% and revenue per agent, which grew as well. This growth is further supported by proprietary technology platforms which allow us to continue expanding our agent count and geographic footprint at an accelerated pace. If we look at gross profit, our gross profit grew 449% to $4.1 million in Q4 2021 and 415% to $11.1 million for the full year 2021 in comparison to last year. Our margins are affected by the increase of number of agency caps and the increase in volume and rising unit prices, resulting in downward pressure, as we continue to attract high producing agents. We expect to offset this pressure and increase margins through the introduction of financial services, such as our newly launched Instant Payments program that Tamir touched on previously, and by adding ancillary services. We have now added our first ancillary service with the acquisition of Expetitle now called Real Title, and can expect to see the early contributions to our top-line revenue and margins take effect towards the second half of this year.  Our net operating loss for the quarter was $3.8 million in Q4, compared to $1.3 million in Q4 of 2020. Net operating loss was $11.7 million in 2021 compared to $3.6 million in 2020. This change was primarily the result of investments in building our team of agents, key management, employee personnel, as well as our technology infrastructure. As a percentage of revenue, total losses were 10% in 2021 and this is versus 22% in 2020, demonstrating our efforts to monitor spend and cautious approach to managing resources. We place great importance on our management team and on hiring top talent all across the board and look forward to the enormous value Kat, Raj, and the rest of those who have joined us this quarter will add. We view each and every one of these hires along with investments in our technology infrastructure as key contributors to our growth and necessary to support this accelerated pace. Adjusted EBITDA loss for the quarter was recorded at $2.9 million in comparison to $400,000 for the prior year. Adjusted EBITDA loss for the year was $5.1 million in 2021, compared to $1.8 million in 2020. Management believes that adjusted EBITDA provides useful information about our financial performance and also helps identify underlying trends in our business that otherwise could be masked by the effective expenses that we exclude in adjusted EBITDA. In particular, we believe the exclusion of stock-based compensation expenses provides a useful supplemental measure in evaluating the performance of our operations, and also provides better transparency into our results of operations. Overall, our operating expenses were $7.9 million in Q4, and this is in comparison to $2.1 million in Q4 of last year. On an annual basis, operating expenses were $22.3 million in 2021, compared to $5 million in 2020. On an adjusted EBITDA basis, operating expenses were approximately $15.5 million and that's compared to $3 million last year. The change is primarily due to increases in headcount, improvements in technology, infrastructure, stock-based compensation expenses and other one-time expenses, such as those related to our listing on NASDAQ capital markets. The growth in our number of full-time employees is attributable to Real’s commitment to better service agents and to further expansion of the company. These investments in key management and employee personnel allows to offer best-in-class service to our agents and our agents' customers. With year-over-year revenue growth at 635%, we believe we have proven our ability to do so in a highly efficient manner, and with minimal impact on operational costs. As Tamir mentioned, Real's full time employee to agent ratio as of December 31, 2021 is 1:62 compared to 1:59 in December 2020, thus demonstrating increased efficiency, even as we begin to ramp. General and administrative costs were $3.4 million in Q4 in comparison to $1.7 million in Q4 of last year. On an annual basis, general and administrative costs were $10.6 million in 2021 as compared to $3.7 million in 2020. That increase is mostly driven by the costs related to being a public company, and increases in headcount that further support our growth. G&A expenses are expected to increase going forward as we continue to scale rapidly. However, as mentioned, we actively monitor spending and the impact on our bottom-line. Marketing costs grew to $3.8 million in Q4 from $300,000 in Q4 of last year. That change is primarily due to revenue share paid to agents as well as stock-based compensation related to the agent equity program. Agents earn revenue share for new agents that they personally refer to Real and are eligible for the equity incentive program based on certain attractive and performance criteria. We expect to see the costs associated with our agent incentive programs to translate into significant year-over-year growth and also believe it to be very fruitful contributors to long-term goals and success of the company. Research and development costs were $700,000 in Q4 in comparison to $76,000 in Q4 of last year. And on an annual basis, research and development costs grew to $4 million in 2021 in comparison to $400,000 in 2020. The increase was primarily due to the increase in full time employees and the addition of an offshore development team, all supporting our focus on building a robust and consumer facing agent project -- product. We have developed a technology for full automation of the real estate transaction through an agent mobile app, and are now beginning to build the consumer journey. As a percentage of revenue, sales, general and administrative costs were 15% this year, and last year they were 28%. This is highly representative of our level of efficiency and ability to scale. As mentioned, we have a technology infrastructure that's able to support us on the path forward to 100,000 agents with minimal impact on our operational costs. We ended Q4 with our balance sheet strong, holding $38 million in cash and investments, a significant increase from the total cash balance of $21 million in the prior year.  Cash flows from operations increased by 311% in comparison to Q4 last year, and the company holds no debt. During the year, the company repurchased 4.9 million of common shares for a total of $12,000,644 pursuant to the terms of its normal course issuer bid. The company continues to strengthen its balance sheet and industry footprint, as well as demonstrates significant year-over-year growth. This acceleration as we continue to ramp and expand our focus from not only our agents, but the consumer journey as well. This concludes my financial remarks. I will now ask the operator to open up lines for Q&A. Operator, can you please pull for questions?
Operator: Certainly. Ladies and gentlemen, the floor is now open for questions. [Operator Instructions]. Your first question for today is coming from Darren Aftahi. Please announce your affiliation, then pose your question.
Darren Aftahi : I'm with ROTH Capital Partners. Nice work on the quarter. A couple if I may. Could you give the transactions in the fourth quarter and then what transactions per agent were for 4Q? And then I've got two follow-ups.
Tamir Poleg: Michelle, do have that number?
Michelle Ressler: I'm sorry. My connection got disconnected. Can you repeat the question?
Darren Aftahi : Yes, so I'm looking for the -- hi, Michelle -- the 4Q transactions, and then what the implied transactions per agent were in the fourth quarter?
Michelle Ressler: Sure. Transaction per agent were 13,000 for the year, in the implied transaction per agent. I'm sorry?
Tamir Poleg: So the number of total transactions in Q3 was around 5,400. We ended the quarter with 3,850 agents. So that's roughly 1.5 transactions per agent for the quarter.
Darren Aftahi: Sorry, Tamir you said 3Q. Did you mean 4Q of 5,400?
Tamir Poleg: 4Q.
Michelle Ressler: Yes.
Darren Aftahi: Yes, got it. Okay, perfect. And then for the year, I think you were at a little over 6 transactions per agent. I'm just curious with like the rapid expansion of your agent base, as you go into 2022, like what are your general thoughts about that 6.1 number on an annualized basis? Is that a number we could see sort of be neutral in 2022, get better, perhaps get worse, just any color around that? 
Tamir Poleg: Sure. What we've seen is that we have a constant improvement in the per -- or transactions per agents throughout 2021. We continue to see that trend continuing. I do not think that we will experience the same increase in per transaction or per agents per transactions. So I believe that in 2022 the number will be 7 to 8 transactions per agent for the entire year.
Darren Aftahi: Great. And then if I could squeeze one last one and I know, Michelle talked about, I guess it's now called Real Title will be contributory in the second half of the year. Can you just kind of walk through just the integration efforts? Are those done? When are those going to be done? And then just general thoughts around what initial attach rates could look like early on and then maybe as we get through 2022? Thanks. 
Tamir Poleg: Sure. And thank, Darren. So we look at the integration of Expetitle as a two-step process. There's the immediate process where we welcome their employees. We integrate the technology. We make sure that we understand fully how the business works. And then we go the traditional way of pitching it to our agents and asking them to actually funnel their transactions through The Real Title Company, which is now operating in three states in Texas, Georgia and Florida. We think that this will be somewhat of a slow ramp up as you can experience in other brokerages.  At the same time, we are building some solutions both on the tech side and on the business offering that will drive our agents to drive more and more transactions into The Real Title. I will just mention two things. One, creating JVs with agents where high performing teams can actually become partners in LLCs that operate title operations, that's one thing. And on the technology side, as we are building the consumer experience, part of the experience itself would be to automatically attach transactions into our own title company.  So we think that in 2022, for the first half of the year, we will see kind of a slow ramp up. The Real Title is currently contributing around $120,000 on a monthly basis to the revenue. As we start the second half, we will probably see an acceleration of the attach rates.
Darren Aftahi: Great. Maybe I could -- I lied. I’ll squeeze one more in. So when you talk about like having a verticalization and consumer experience, when you talk about JVing title versus actually having that in what seems like a revamped consumer app, if you will, is this going to be more like a DoorDash or an Uber Eats where you actually, let’s say, order some food and then you have the ability to add on services, like, Hey, I need to get some Gatorade from the local convenience store or Aspirin, what have you. Is that kind of the UI kind of pin of Real going forward?
Tamir Poleg: Well, obviously, buying a home is a little bit more complicated than ordering food. But at the same time, we would want to simplify as much of it as possible. So we think that the vast majority of home buyers and sellers do not really have any preference when it comes to a title company. So, the intention is to integrate our title company into each and every transaction in a way that will be more favorable to the consumer at the end of the day, as long as they either pay the same or less. But the experience itself is much smoother, I think that benefits with the consumer.  So, yes, I think, you can try and imagine the experience that you are going through when you are ordering from DoorDash or Uber Eats. At the same time, again buying a home is a little bit more complicated, we will be trying to provide simply more convenience, speed and transparency to home buyers through a digital experience. But when it comes to title, we believe that title is somewhat of a commodity and consumers do not really care, which title company is being used. And as soon as -- I mean, if you can attach it through the digital experience, when a consumer is actually downloading the app and providing us their personal information, financial information, so we can underwrite them for a mortgage, part of it will be checking a box saying, I would like to use The Real Title company, that's all they will need to do. And in exchange, they will be getting more transparency and understanding of what the next steps are and where they are in process. It will enable them to close faster and just with less friction.
Operator: Your next question for today is coming from Tom White. Please announce your affiliation, then pose your question.  
Tom White: Great. Thanks. D.A. Davidson. Hey, guys. Thanks for taking the questions. A couple, if I might. Maybe just a follow up on the last one about kind of the consumer facing technology tools that you guys are talking about working on. How should we think about -- how do you think about like incentivizing home buyers and home sellers to actually download them or use them, or I don't know, if there's way to make it sort of a requirement for working with a Real agent? And are you thinking about like sort of incentivizing them via maybe discounts on things like kind of like core brokerage commissions and as a way to kind of try and encourage higher attach for some of the kind of higher revenue per transactions or higher kind of margin per transaction offerings? And then I had a follow-up.
Tamir Poleg: Thanks, Tom. I think first we have to acknowledge that the existing home buying process is just broken. It's not friendly. It's not convenient to buyers. It creates a lot of anxiety. There is no transparency. They have to deal with different stakeholders. They talk to a lender. They talk to a title company. They have an agent. There is an appraiser, there is an inspector. And at the end of the day as a buyer, when you're actually starting the journey, you have no certainty that you will end up actually owning the home that you would like to purchase. And if you actually do, then you’re in the hands of somebody else, typically the lender who dictates when you are going to close and how much equity or money you will need to bring to the closing table. And that might change last minute. So when we look at this, we understand that there is an opportunity to create something very different, again, giving the control back to the buyers and providing them more convenience and control and transparency and speed that eventually will just create a much better experience. And so if we are able to drive value to an experience and service and not necessarily to economics, I think that is more than sufficient. The process itself is that we have thousands of agents, those agents interact with tens of thousands -- I mean in the future hundreds of thousands of homebuyers. So there's an inherent relationship and confidence that's being built there. So as soon as a consumer is starting to work with one of our agents, they will be asked to download the app and the app will guide them through a few steps, which will help us understand what is it exactly that they're looking for in their future home, understand their financial situation, and then we will kind of guide them from there. But the initial interaction with our technology, with our app will be coming through our agents that will be asking them to download the app.
Tom White: Okay. That’s helpful. On agent attraction, obviously, you guys are attracting a ton of agents. Curious whether in your view, there's like one part of the overall value prop that you guys provide that is, maybe like a disproportionate driver of what's attracting agents to the platform. Is it the splits? Is that the revenue share program? Is it the tools? And then also, I'm curious also, like, now that models like yours are more understood by the market, by agents out there, curious whether like there's a dynamic where people want to kind of like get in early on, what is clearly a growing platform and a model that isn't maybe viewed as risky, as it maybe once was five years ago or whatever, by agents broadly?
Tamir Poleg: First, I have to refer to your comment about us bringing a ton of agents. So yes, we are experiencing a lot of growth and a lot of attention from agents, but every agent is a whole world. So just grouping them as a ton, as a little bit -- I think we need to change the narrative a little bit. I would like to answer the question of why agents are actually joining us by somewhat of a surprising answer, because we are talking to agents, a lot of agents on a daily basis, and I'm engaged in many conversations with high producing teams and high producing agents. And what we're seeing more and more is that, I mean beyond this technology, beyond the financial opportunities, what comes up a lot is culture. Agents are highly social individuals and they're attracted to likeminded people, and they're attracted to our culture and we managed to build a culture of working hard and being kind and collaborating. And I think that this is attracting a lot of agents who not only see the opportunity, they also see the opportunity of belonging to something that resonates with their values. So culture is becoming increasingly important. As the second question of those -- this alternative model becoming better and better known, yes, I think that people understand that this is the future and they would like to join early and they would like to have an impact on the company, they understand that coming in at this point will enable them not to only benefit from it financially, but also be a part of really making an impact on how this company grows, making an impact on decisions, making an impact on others that will be joining. And definitely there's an early stage opportunity component when it comes to agents thinking about whether to do that move on that.
Tom White: Great, thanks. I guess maybe I also like to try and put one last one if I could. Curious if you'd be willing to weigh in on maybe what you think agent count maybe could be by the end of this year? And also if the market kind of cools off a bit relative to kind of the last 12 to 18 months, how do you think that, that impacts kind of agent attraction? Thanks.
Tamir Poleg: Yes, good question. So yes, we are not really providing any estimates or guidance, but we started the year at a certain number, we're right now at 4,500 agents, just measuring our agent counts growth in the past year. So we're looking that -- we're seeing that it's steadily around 150%, 160%, 165% year-over-year. So you can do the math and estimate where we will be towards the end of the year if we started at around 4,000. Now, as far as the real estate market goes, we're seeing a very tight inventory right now. And that I think, I believe has an impact on everyone. Just this morning, the February home sales numbers came out. And I believe that first of all, the market needs to cool down a little bit. There's a lot of pain on the buyer side. But I believe that as the market cools off, we will be in a great position to capture more and more agents at the end of the day. Let's assume a scenario of transactions apathetically decreasing by 20% in a certain period of time, then agents still need to sustain their family. So they need to make the same amount of money out of fewer transactions. And I think that at this point, they will just be looking for alternatives.  And when they look at Real, the cost to value ratio is just outstanding. And I think that -- and at that point when there will be some sort of shift downwards in the market, we are very well positioned to welcome those agents that will be looking for an alternative to where they are today.
Operator: I see no further questions at this time. Thank you everyone for joining. This concludes today's call. You may now disconnect your lines.